Operator: Good day and welcome to The New York Times third quarter 2010 earnings conference call. Today’s call is being recorded. A question-and-answer session will follow today’s presentation. (Operator Instructions). For opening remarks and introductions, I’d like to turn the call over to Ms. Paula Schwartz, Director of Investor Relations, please go ahead.
Paula Schwartz: Thank you and good morning everyone. Welcome to our third quarter 2010 earnings conference call. We have several members of our senior management team here to discuss the results with you including Janet Robinson, President and CEO; Jim Follo, Senior Vice President and Chief Financial Officer; Scott Heekin-Canedy, President and General Manager of The Times and Martin Nisenholtz, Senior Vice President, Digital Operations. All comparisons on this conference call will be for the third quarter of 2010 to the third quarter of 2009, unless otherwise stated. Our discussion will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2009 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate website at www.nytco.com. Now, I will turn over the call to Janet.
Janet Robinson: Thank you Paula and good morning everyone. Our third quarter results demonstrate our ability to manage our business amidst both uneven economic conditions in a period of intense transition for our industry. Our print advertising trends and the stead-fast growth of our digital advertising numbers are further proof of our determination and resilience amid these circumstances. And while we have already been successful in greatly reducing our overall comps, we did continue to find ways to manage our expenses in the quarter, while maintaining our quality journalism and further investing in our digital strategy. In ending, the quarter slightly down in overall advertising revenue versus the third quarter of 2009. We have further confirmation that the path towards economic recovery will not only be a direct one, but let us not lose sight of the larger picture. We have made substantial progress so far this year and we remain confident in our long term strategy. Some of the company's actions that informed about confidence we are rigorously controlling our expenses with the 2009 cost reengineering presenting formidable comparison numbers, expanding our digital offerings such as with the launch last week of our new NY Times app for the iPad and the impending introduction of NYTimes.com pay model, continuing to keep our brand promise of high quality journalism as our very top priority, and investing in our asset portfolio to support our core operations. In the third quarter, although we experienced marketplace volatility advertisers sustained their spending levels across our products. We were able to hold the company's operating expenses to roughly flat in the third quarter overcoming the fact that 2009 saw the steepest expense cuts in our history and therefore presented very tough comparable numbers. We maintained our relevant focus on managing costs to mitigate the effects of our revenue declines on operating performance in the quarter, despite higher newsprint prices. As we've previously stated these cost control efforts, have in fact become more challenging in the second half of the year. Our operating profit in the third quarter excluding depreciation, amortization severance and special items, was down 24% to 62 million from 81 million in the third quarter of 2009. However, year-to-date through September, our operating profit on the same basis was up 25%. On a GAAP basis, we reported operating profit from continuing operations of nine million in the third quarter, compared with a 24 million loss we sustained in the same period of 2009. And year-to-date through September, our operating profit totaled a 122 million, versus an operating loss of 62 million for the same period in 2009. Diluted earnings per share from continuing operations, excluding severance expense and special items were $0.07 compared with 16% of the $0.16 in the same period of 2009. On a GAAP basis, we reported a diluted loss per share of $0.03 from continuing operations, compared with a loss of $0.24 in the third quarter 2009 period. Our results involved a couple of special items which Jim will review with you. Our digital offerings were front in center in the third quarter and will get an even brighter spotlight over the next few months. In January, we announced that we will be introducing a pay model for NYTimes.com in 2011 and we plan to release details on price and gate placement closer to the launch. What I can’t share with you today is that the model will be designed so readers referred from third parties site such as blogs, social networks and search engines will be able to access that content without triggering the gate. This first click free policy will preserve NYTimes.com significant reach and advertising inventory. Separately just a few days ago we launched our expanded content NYTimes app for the iPad, which fills on the editor’s choice apps and offers access to more than 25 sections of Times content, now with many more videos and photos, all continuously updated throughout the day. The new app is free initially, but will become a subscription product along with our NYTimes.com pay site in 2011. Within the New England Media Group, we’ve seen two significant developments recently with regard to our website. In August, the Worcester Telegram & Gazette adopted a new metered model for its site telegram.com, giving all registered users free access to 10 staff produced articles per month, but asking them to pay a monthly or daily rate for articles beyond that initial 10. Newspaper subscribers continue to receive unlimited access to telegram.com as part of their subscriptions. Also early in the fourth quarter, the Boston Globe announced its new digital strategy that will launch in the second half of 2011. The Globe will split its digital brand into two distinct websites, keeping boston.com free, while establishing a subscription pay-site bostonglobe.com that will feature content produced by the newspaper’s journalists. Boston.com, one of the nation’s largest regional websites, will continue to focus on being a one stop source for all things, Boston that offers breaking news, sports and weather as well as classified advertising, social networking and culture information. Bostonglobe.com will contain all of the stories and other contents from the day’s paper as well as exclusive reports, in depth news, analysis and commentary, photos and graphics, video and interactive features. Well we have not finalized our pricing for the subscription-based site; we do know that access to BostonGlobe.com will be included for free as part of the print subscription. Another one of our strategic focuses is managing our asset portfolio. Early in the fourth quarter we made a $4 million investment in Ongo, a consumer service that will allow users to read and share digital news from multiple publishers with similar contributions coming from the Washington Post and Gannett. We expect that this service will launch before the end of the year and we'll share more details at that time. Now let me offer some more depth on our third quarter revenues. Total revenues for the company declined 3% with advertising revenues down 1%, circulation revenues down 5% and other revenues down 2%. Substantial growth in digital advertising revenues which rose 15% partially offset a 6% decrease in print advertising revenues and kept our total advertising revenue to down 1% compared with the third quarter of 2009. The positive impact of transitioning into a multiplatform company is undeniable in reviewing these numbers. Online advertising revenue continue to grow with shared revenue and made up 27% of our total ad revenues in the quarter, up from 24% in the third quarter of 2009. At the News Media Group which includes the New York Times, New England and the regional media groups, ad revenues decreased 2% due to lower print advertising. By advertising category, national revenues were up 5%, retail was down 9%, and classified was down 10%. Within the classified area recruitment was flat, real estate declined 9% and automotive was down 21%. The print advertising decrease was 6% for the quarter holding steady to progress from the second quarter and improving on the 12% decline in the first quarter. The decline for the quarter was largely offset by 22% growth in online advertising revenues. Our healthy online growth came in multiple categories; national display advertising which increased a noteworthy 31%, as well as all three major classified categories, real estate, automotive and recruitment. The Group's total advertising revenues which declined 2% year-over-year in the quarter decreased 1% in July, were flat in August and declined 4% in September. Now breaking down the News Media Group into its component properties; at the Times Media Group, advertising revenues were up 2% in the quarter as slight decreases in print advertising were more than offset by impressive growth in online display and classified advertising. The national print ad categories where we saw the largest gains were corporates as a result of increased spending from energy companies. Technology due to increased expenditures from campaigns focused on e-reader devices, financial services lead by higher spend from credit card companies which promoted credit opportunities for small businesses and luxury goods such as the fashion jeweler category where stores are using print to build brand awareness and drive traffic. The national print ad categories where we saw the largest declines were healthcare due to difficult comparisons from hospitals and healthcare companies that did not run in this year's third quarter, live entertainment lead by declines in concert advertising related to the weak economy, along with limited support for Broadway show openings and media due to tough comparisons from cable companies that did not repeat their business in the third quarter. Firm growth in online national advertising was led by strength in American fashion, media and financial services. It is important to remember that The Times is in a unique position in the national advertising market, both in print and online, with about three quarters of its ad revenues coming from national advertisers. Our luxury advertisers have been increasing their spending as evidenced by the revenue growth we’ve seen across our website in the past few quarters including within our T-style franchise. We attribute this to our industry leadership position in the online luxury ad space which we have the expertise and determination to grow through constant innovation. As the number of platforms where readers demand our content proliferates, the company remains aggressive in advertising product innovation, building premier positions across all nodes of delivery. NYTimes.com continues to be an innovator in brand advertising and marketers come to us for our reach, the quality of our audience and our ability to create and execute unique campaigns. As a result, we saw a sizeable gain in online display advertising during the quarter with large format ad units from blue-chip advertisers such as Tiffany, Polo, Ralph Lauren and HBO. Not all Times categories where as strong as national in the third quarter, although classified advertising at The Times Media Group decreased in all three major categories, automotive, real estate and recruitment. Real estate ended the quarter stronger than it started. Retail advertising revenues also ended in negative territory for the quarter. At the New England Media Group, advertising revenues declined 9% in the quarter due to weakness in print advertising. National ad revenues were down on online growth could not completely offset print declines. Decreases in the bank and media categories more than offset gains in financial services and live entertainment categories. Retail advertising revenues were also lower despite healthy online games led by softness in print categories including home improvement and health. Classified advertising at the New England Media Group was soft in all categories except for recruitment which saw impressive improvement as the quarter progressed. At the Regional Media Group, advertising revenues decreased approximately 6% primarily due to weakness in retail and classified print advertising. The rate of decline in classified real estate was fairly consistent while recruitment and automotive advertising rebounded during the quarter. At the New England Media Group, advertising revenues declined 9% in the quarter due to weakness in print advertising. National ad revenues were down as online growth could not completely offset print declines, which were led by decreases in media and national automotive categories. Retail advertising revenues were also lower despite healthy online gains led by softness in print categories including home improvement and health. As a result of our commitment to constant innovation, we have developed a coveted technology expertise and we identify the progressive new way to leverage that knowledge in the third quarter. In August we announced Press Engine a consultative endeavor to help other publishers take advantage of The Times as already substantial experienced in building digital products starting with apps for the iPhone and iPad. We have already begun marketing this technology and design solution and have many clients committed. We will launch Press Engine in the fourth quarter. Separately in August we added a new social media feature to NYTimes.com called login with Facebook which enables users to link their NYTimes.com and Facebook account. Users can then share articles from NYTimes.com with their Facebook friends on our site and on Facebook. And NYTimes.com pages will highlight the most popular Times content within Facebook and the user’s network of friends. We are also in the midst of a significant expansion of our popular DealBook blog increasing our staff in that area along with our ability to cover breaking financial news. Current and new advertisers to the section are already taking notice. In the third quarter we also built on the Times brand with the launch of Nate Silver’s 538 blog in our politics section giving NYTimes.com a unique perspective on statistics across issues relating to politics, culture and sports. All of these digital efforts have helped to ensure that NYTimes.com remains the most highly trafficked newspaper website in the United States and to keep the company as a whole among the top 14 most popular parent company sites. With all of this discussion of the company’s digital advancement, let me also assure you that our print product is alive and well. We will be printing newspapers for many years to come in order to delight a very large and loyal base of readers and advertisers who were committed to the print reading experience and to the commercial benefits of advertising to a highly engaged print audience. Building on that, expanding our reach in audience has ultimately driven our efforts to grow our audience in print, online, mobile, e-readers, social media and other products. In particular, during the past couple of years, the Times has launched a number of mobile products. In the third quarter, we averaged more than a 100 million page views per month from our mobile sites and apps. We’ve also reached roughly 5 million downloads of our iPhone news app since its launch just over two years ago. We continue to embrace innovative platforms and devices that provide rich experiences for our users and advertisers are making good use of our large mobile audience. Our iPad news app has several advertisers this month including Mercedes-Benz and its placement are sold out for the remainder of the year. We had more than 650,000 total downloads of Editors’ Choice app and it is becoming increasingly clear that top quality advertisers are prepared to follow New York Times content to any and every platform. We are confident that our new iPad app will generate the same kind of enthusiastic following among those users and advertisers. In the third quarter, the company launched a variety of other iPhone and iPad products as well with mobile development especially active at boston.com. In August, we debuted the free boston.com real estate app on the iPhone and The Big Picture, boston.com’s popular blog is now available as a paid app both on the iPad and the iPhone. International Herald Tribune is also launching its news app for the iPad and iPhone in the fourth quarter which will be free at launch but eventually convert to a subscription product. This app is among the first design by our internal Press Engine team. The IHT will also launch its business navigator paid iPhone app later this year, designed to help executives understand and negotiate business protocol around the world through select regional, business and travel headlines, and detailed country and travel information. And speaking of digital endeavors the About Group’s total revenues rose 6% to $32 million in the third quarter. Advertising revenues rose 5% bolstered by solid gains in display advertising, which were offset in part by lower cost per click advertising. Display advertising showed strong growth in categories including consumer package goods, media and technology. The About Group’s operating cost increased 9%, and operating cost excluding depreciation and amortization increased 10% to $16 million from $14 million, primarily because of higher compensation cost and marketing expenses. Operating profit rose modestly as higher advertising revenues were offset in part by increasing cost in the quarter. About’s operating margin completed the quarter at a noteworthy 43%. Total revenues from all of our internet businesses increased approximately 13% to $89 million from $79 million in the third quarter of 2009. Internet businesses accounted for 16% of the company’s revenues in the third quarter, versus 14% in the same period of 2009. Total internet advertising revenues rose 15% to $78 million from $68 million in the same period of 2009. Based on results from the first half of October, fourth quarter revenue trends for print advertising are expected to improve modestly from the levels of the third quarter, while digital advertising is expected to be up approximately 10%. Similar to the third quarter, circulation revenues are expected to decrease 4% to 5%. Now let me turn the call over to Jim, who will give you more details on our results.
Jim Follo: Thanks Janet, our expense controls remains solid. Operating costs were roughly flat in the quarter despite higher compensation costs and newsprint prices mostly offset by lower benefit costs and decreases in various other expenses. Getting to the special items, our third quarter earnings were unfavorably affected by $0.07 for a write down of assets at the Boston Globe's printing facility in Billerica, Massachusetts, and by $0.03 from adjustment to estimated potential withdrawal obligations under several multi-employer plans related to amended labor agreements at the Boston Globe. EPS in the third quarter of 2009, have been favorably effected by $0.02, or a gain on the sale of regional media group, real estate assets, and unfavorably effected by $0.33 related to those same estimated cost and pension withdrawal obligations, and a curtailment charge for a company sponsored plan, and by $0.08 for a tax expense from the reduction of the companies deferred tax balances as a result of lower income tax rates. Severance costs were less than $1 million, compared to $2.6 million in the third quarter of 2009. Depreciation and amortization decreased to $30 million from $31 million, and for the year, we expect depreciation and amortization to be between a $100 million and $125 million. Newsprint expense increased by 20%, primarily due to prices that were 26% higher offset in part by a 6% reduction in consumption. There were no additional East Coast newsprint price increases in the third quarter, but newsprint prices were significantly higher than in the same period last year. Newsprint prices increased steadily in the first half of the year. We believe that newsprint price variance will continue to be unfavorable on year-over-year basis in the fourth quarter. We expect high newsprint prices will negatively impact operating expense by approximately $30 million excluding a favorable impact on operating expenses as a result of lower consumption. Net interest expense decreased very slightly in the quarter to $21 million and for the full year we expect net interest expense to be between $85 million and $90 million. In verse of 14% notes due in 2015 may be called on or after January 15, 2012 at an initial redemption price of 105% of the principal amount plus accrued interest. Given the terms, we currently attend to repay or refinance these notes at the earliest feasible date after January 15, 2012, depending upon available financing or other sources of cash at the time. Our focus on the balance sheet continues to deliver results. We have continued to improve our liquidity position and generate strong cash flow, enable us to finish the quarter with approximately $129 million in cash. We reduced our net debt in capital lease obligations by more than a third to $646 million from its balance at the beginning of 2009, and we had no outstanding borrowings excluding lines of credit under our revolving credit facility in the quarter. Our effective income tax rate was 32.8% in the third quarter. The effective tax rate for the first nine months of 2010 was 54.8%, principally because of the $10.9 million one-time tax charge for the reduction and future tax benefits for retiree health benefits resulting from the federal healthcare legislation enacted in the first quarter of 2010. The tax benefit in the third quarter in the first nine months of 2009 were unfavorably affected by $11.7 million in tax expense due to the reduction of the company's deferred tax asset balances as a result of lower income tax rates. We have taken decisive steps to reduce capital spending which further contributed to our improved liquidity. Capital expenditures totaled $9 million in the quarter and $19 million year-to-date. For the year, we project capital spending will be between $40 million and $45 million. We remain diligent in managing operating expenses and expect fourth quarter operating costs to decline largely due to the severance expense levels in the same period last year, and operating costs excluding depreciation, amortization and severance to be comparable despite higher newsprint prices and costs associated with the launch of the NYTimes.com pay model. As we mentioned in our results this morning, we are well positioned to thrive in the evolving media marketplace, thanks to the significant progress we have made and continue to make in reinventing our enterprise. Despite an increasingly competitive environment and bottled economic conditions, successful efforts across our organization continue to contribute meaningfully to our overall financial performance, demonstrating our trademark excellence and resilience. And with that, we’d be happy to take your questions.
Operator: Thank you. (Operator Instructions). And our first question today comes from Alexia Quadrani with JPMorgan.
Alexia Quadrani - JPMorgan: First on the drop-off that you saw in September, was that broad based across your geographies and segments or was it in one particular area?
Jim Follo: The drop-off in?
Alexia Quadrani - JPMorgan: I’m sorry, in ad revenues in September.
Jim Follo: That was characterized as a slowing of the improvement in the national categories and the improvement we’ve seen sequentially in the classified categories and about the same level of performance in the retail categories that we’ve seen in earlier quarters.
Janet Robinson: And in regards to Boston and the regionals it was just the same story in regard to national flowing in Boston, and in Florida and California we saw softness in the September number as well.
Alexia Quadrani - JPMorgan: And would you say its fair just based on your comments for the fourth quarter that you’ve seen a bit of an improvement in October so far?
Jim Follo: I think we're seeing maybe modest improvement of what we’ve seen in September and would characterize our expectations for the fourth quarter similarly. I’d add one thing to what I said a minute ago with regard to the sequential improvement. Our main magazine has shown a decided improvement each quarter through the year, improving probably 20 points from Q1 to Q2 and then from Q2 to Q3. So magazine schedules are on a different spending schedules and our newspaper and I think that there is perhaps some significances to that.
Alexia Quadrani - JPMorgan: And then on sort of unrelated question, I was surprised to see the classified autos still weak in the quarter. Was there I guess one area driving that or was that pretty broad based too?
Jim Follo: We saw a slowing of advertising. The improvement we've seen in advertising throughout the year and it seems to be tied very directly to the fall off in advertising in automotive sales that started in August and continued through September I believe.
Alexia Quadrani - JPMorgan: And then sort of I guess a bigger picture question probably for Janet. I guess if you are looking across your performance across all your segments. Where do you continue to see real cyclical weakness, meaning is there one area that is particularly depressed because the economic cycle where you would expect to see the more dramatic recovery, whether its in 2011 or longer term.
Janet Robinson: I think that you know from a standpoint in California and Florida, we're seeing weakness in those particular areas particularly in Florida in regard to real estate. I think that many of those would have hoped to see much more of a real estate rebound center than certainly now. And it continues to be a very weak category for all of our papers down there, so I would point to California and Florida as particularly weak areas. I think certainly with our digital performance, we are seeing good strong growth in regard to what we see with the new applications that are being introduced and that is a bright spot for us , not only in regard to New York but we are seeing that in Boston as well, and we are seeing good digital growth at our regional newspapers as well. 
Operator: And our second question today comes from Craig Huber with Access 342.
Craig Huber - Access 342: Can you update us on your status on your pension given the actions that you guys have done so far this year and I have some follow-ups?
Jim Follo: Well, as you know, we came into the year with an unfunded qualified plan of something north of $400 million. We did make a discretionary contribution in the early part of our second quarter, about $80 million. So that certainly went towards improving the funded status, that being said, really through kind of mid-summer into the equity markets who are not cooperative. We are generating material returns, and interest rates have obviously not gone favorably, rates continue to come down. So that’s had a negative impact as well. But now the funded status has improved, I think the equity performance of last month or so have contributed to that. So, while the funded status is lower, the interest rates have not been helpful.
Craig Huber - Access 342: And then also Janet, you talked about in your press release and your commentary about modest improving, you are expecting for newspaper ad revenues. During the fourth quarter you obviously reported negative 1.7% in the latest quarter here. Can you just talk a little bit further about what you have seen in October, but is October trending better than that negative 1.7% or no? Also what you’re expecting for November and December, your backlog here of advertising is making you feel you can get better than negative 1.7% for the whole quarter?
Janet Robinson: Well, I don’t think we can be that specific in regard to what we see because visibility is very limited as you know Craig, but we are seeing improvement in October and we have strong booking in November and in December. This is the strongest quarter usually for us in regard to particularly retail advertising, but we are seeing many national schedules certainly be committed to as well. I think that we were clear that we’ve got very big comps to be compared too in regard to the fourth quarter last year, but we feel as though there will be modest improvement in print that digital will be about 10% up and that of course from a comps perspective we are going to be continuing to work on the cost side of our business to make sure that indeed we keep our costs in line and hopefully do an even better job than just keeping them in line. We also have several T Magazines in the fall in the fourth quarter. We have a brand new editor in Sally Singer, who has been a favorite of many advertisers and we feel as though and from her order on T will be a very important move for us, that will I think be something to watch going forward.
Craig Huber - Access 342: And can you talk a little further about this up 5.5% number in about.com’s revenues this latest quarter? It’s just obviously a meaning full slowdown from the first half of the year, obviously a tougher comparison, but what are you sort of expecting that particular segment for the fourth quarter?
Jim Follo: As you pointed out, on the CPC side actually we are comping against very tough numbers in Q3 of ‘09, but in addition we implemented an important mandated change by Google in the way we display our CPC ad units which affected click-through rates in the quarter. So these two factors combined to significantly affect CPC in the quarter, I should add that display had a strong quarter though it softened some what toward the back half as the uneven economy affected the business And I should also add that we’ve seen continued softness in October in both CTC and display advertising at About, but it’s a bit too early to call the fourth quarter. As you know, from the outset our ambition has been to diversify revenues at About.com and to focus on building a significant display sales team there. We’ve done that, we moved off the business, the business was almost entirely CTC and now we are quite diverse in terms of the revenue streams. So that effort continues, that’s why we made a modest investment in the quarter in terms of the trade advertising program that we rolled out, as well as the addition of some sales talent in the group. So we continue to focus very much on the display part of the business.
Craig Huber - Access 342: And then lastly Jen if I could, on your Boston Globe paper, how much did you see on average, the newspaper advertising rate is down year-over-year and the same question for your regionals? Thank you.
Janet Robinson: From a yield perspective it’s a modest decline. I think that the Globe is doing a very good job of diversifying its revenue base by bringing in a great deal more of digital advertising, but also focusing very much in regard to high rate line business, particularly on the national front.
Craig Huber - Access 342: That similar for the regionals, a modest decline?
Janet Robinson: In the regional it’s a modest decline in regard to yield, yes. From a perspective of the regionals in regard to the times I think that Scott can give you an overview.
Scott Heekin-Canedy: We’ve got positive improvement in our rate yield and that’s attributable to I believe the customized programs that we do with our advertisers, include color and position. Also where they fall in the rate card and their contracts, so improvement in yields.
Craig Huber - Access 342: Like roughly 1% or so, 
Scott Heekin-Canedy: Few percentage points.
Craig Huber - Access 342: Few percent okay.
Operator: We will go next to John Janedis with UBS.
John Janedis - UBS: Two questions please, one is someone commented on this already but the print only comp is a lot tougher into the fourth quarter. Your guidance clearly suggests some good underlying strength in the business. I am just hoping you can talk through maybe what you are seeing in some of those key categories and are you seeing any kind of meeting [political] dollars in printer online?
Scott Heekin-Canedy: Not meaningful [political] dollars at the Times in print. We expect the categories that have been strong throughout for us for most of the year has continued to be strong in the fourth quarter and particularly second half of the year luxury, hotel, corporate, tech we are to a point we are up against some difficult comps kind of varied by category where they have on the quarter financial services is up against some very difficult comps in fourth quarter. Others categories in December, in particularly when we started to see the beginnings of economic recovery last year. But on total we believe that the categories that have been showing the strength will continue into the fourth quarter.
Janet Robinson : I would just say for the Globe in regards political Boston.com does benefit from political advertising online and there is a heated race in Boston so they are garnering more political advertising online.
John Janedis - UBS: And just related to that, on the auto front, you did mention auto, in one word or another, is that just a middle link category at least a national not that it’s a big category for you, but what are you seeing there?
Scott Heekin-Canedy: I was scared categorize it as a middle link category. It’s been growing very nicely through the year as I said, and so the industry saw the drop-off in their sales but we expect it to recover pretty quickly hopefully by the end of the quarter and we expect it to see some strength carrying into the new year as they advertise and support new products.
John Janedis - UBS: And then just on about the earlier comment. After a big ramp, margins there declined somewhat, Martin is this the beginning of a trend here and is that Google change going to impact you for the next three quarters? Thanks.
Martin Nisenholtz: To some extent it will, yes. I think we should expect more modest growth on the CPC side for the next few quarters, but the team is very focused on continuing to get as much out of the CPC businesses as possible. And there is no reason to think that we won’t be able to strengthen that somewhat. In fact, I think we've seen in the last couple of weeks affirming up a strengthening of the category, but that cycling through will take place through the next three quarters as you point out.
Janet Robinson: I would also reiterate that Martin's earlier comment about the display in the investment that we've made in the display team and we continue to make, not only in bodies but in expertise that indeed we've done very well with the display growth this year. And with the fourth quarter being an important quarter for many categories, display can give us an opportunity to show more growth.
Operator: We'll take our next question from Edward Atorino with Benchmark.
Edward Atorino - Benchmark: I got a couple of questions for Jim. On interest expense, it sounds like there's going to be a big jump in the fourth quarter with interest expense to get to your total for the year. Am I hearing it right, number one? And number two on operating cost both for the fourth quarter and looking into 2011, a lot of new things going on, can you sort of absorb that in your normal cost plans or will these be additive costs going forward, the new products, the new online stuff, all that nice (inaudible) news stuff, imagine its costing some money.
Jim Follo: Yes, look on the online side; I think the incremental costs are manageable within our regular core business. I don’t think that’s really a factor. Obviously newsprint prices going into next year and until we comp through a lot of these price increases that will be an increased cost. I think Janet made the point earlier. We will continue to be aggressive on costs and find ways to offset that as we did in the third and the fourth quarter. We found ways to absorb some of those higher newsprint prices. So, we are very focused on managing those costs. I think we’ve given some conservative guidance on interest rates and I am not trying much more here beyond that.
Edward Atorino - Benchmark: Could you hold costs flat 2011 versus 2010?
Jim Follo: We're just deeply in the middle of our planning season. I’d rather not make any commitments at this point.
Operator: And we'll go next to Doug Arthur with Evercore.
Doug Arthur - Evercore: Three quick questions. Jim, do you have the headcount at the end of the quarter?
Jim Follo: I do. It’s somewhere around 7,500, it’s about 4% down year-over-year and about the same on a year-to-date basis.
Doug Arthur - Evercore: And then the bump up in SG&A year-over-year in the third quarter is that due to the pay roll [expense]?
Jim Follo: It’s more comp related, again the pay wall has contributed some amounts in the quarter and all others have gone the other way, and it’s not a material number and it's probably less than $5 million for the quarter. Yes, and some of that, parts of the conversation I referred to earlier will reverse itself in the fourth quarter as well. But it’s some variable comp in the way we look up variable comp that's largely driven that number. 
Doug Arthur - Evercore: Then finally on National advertising it was up for almost 5% for the quarter, but you discussed a fall off in September, is there any way you could break it up by the month?
Jim Follo: National was quite strong in July, both double digits. Couple of points below that in August and just may be a point of growth in September. 
Operator: And we'll take a follow-up question from John Janedis with UBS.
John Janedis - UBS: Just one quick housekeeping question, is that the third quarter share count a good run rate?
Jim Follo: Yes, it should be. 
John Janedis - UBS: What was the reason for that ramp down Jim, do you know offhand?
Jim Follo: It's basically share price driven. When options and some of the warrants related to the [inverse] of transaction of share price driven.
John Janedis - UBS: Was it the loan effect?
Jim Follo: With some of the pressure our share price has been under has driven that number down. 
Operator: We will go next to Craig Huber with Access 342. 
Craig Huber - Access 342: I do have a follow-up Janet; you mentioned two months ago you rolled out a payroll on your butcher paper outside of Boston. I believe that newspaper is roughly 70,000 daily circulation; I'm curious can you quantify how many people are now paying for access to that website for roughly two months? 
Janet Robinson: It’s a little early to call, but first and foremost we are on plan. We're serving all of our commitments to our advertisers, which is very good news and traffic is responding as we anticipated, with the exception that unique users are actually up. We are pretty pleased to be honest Craig in regard to the work that’s been done and how the circulation and subscription revenue is transpiring up there. There’s lots of learning, needless to say that's going on that we will share with our entire organization, but it’s a little early to give specifics in regard to where we are. But we're very pleased in regards to be being on plan and in some cases above plans. 
Craig Huber - Access 342: And my last question, online help wanted revenue for your company in the quarter, what's the percent change there please?
Jim Follo: It was about flat, Craig.
Janet Robinson: 1% up.
Operator: And this concludes today's question-and-answer session.
Paula Schwartz: Thank you very much; if you have any additional questions please give us a call. 